Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Quanta Services Second Quarter 2011 Earnings Conference Call. [Operator Instructions] This conference is being recorded today, Wednesday, August 3, 2011. And I'd now like to turn the conference over to Mr. Kip Rupp, Vice President of Investor Relations for Quanta Services. Please go ahead, sir.
Kip Rupp: Great. Thank you, Alisa, and welcome, everyone, to Quanta Services conference call to review second quarter of 2011 results. Before I turn the call over to management, I have the normal housekeeping details to run through. If you would like to have Quanta's news releases and other information emailed to you when they occur, please sign up for email information alerts by going to the Investors & Media section of Quanta Services website at quantaservices.com. A replay of today's call will be available via webcast on Quanta's website at quantaservices.com. In addition, a telephonic recorded instant replay will be available for the next 7 days, 24 hours a day, that can be accessed as set forth in the press release. Please remember the information reported on this call speaks only as of today, August 3, 2011. And therefore, you are advised that any time-sensitive information may no longer be accurate as of the time of any replay of this call. This conference call will include forward-looking statements intended to qualify under the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. These forward-looking statements include any statements reflecting Quanta's expectations, intentions, assumptions or beliefs about future events or performance or that do not solely relate to historical or current facts. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict or are beyond Quanta's control, and actual results may differ materially from those expected or implied as forward-looking statements. Management cautions that you should not place undue reliance on Quanta's forward-looking statements, and Quanta does not undertake any obligation to update any forward-looking statements to reflect events or circumstances after this call. For additional information concerning some of the risks, uncertainties and assumptions that could affect Quanta's forward-looking statements, please refer to the company's annual report on Form 10-K for the year ended December 31, 2010, its quarterly reports on Form 10-Q and its other documents filed with the Securities and Exchange Commission, which may be obtained through the SEC's website at sec.gov. With that, I would now like to turn the call over to Mr. Jim O'Neil, Quanta's President and CEO. Jim?
James O'Neil: Thanks, Kip. Good morning, everyone, and welcome to Quanta Services Second Quarter 2011 Earnings Conference Call. I will start the call with an operational overview before I turn the call over to James Haddox, Quanta's CFO, to provide a detailed review of our second quarter financial results. Following James' comments, we will welcome your questions. Revenues for the second quarter increased 16.1% over the second quarter of last year to $1 billion. For the second quarter, diluted earnings per share were $0.15 compared to diluted earnings per share of $0.16 in the second quarter of last year. Adjusted diluted earnings per share were $0.19 compared to adjusted diluted earnings per share of $0.22 in the same quarter last year. Both our 12-month and total backlog at the end of the second quarter were at record levels. Our 12-month backlog at the end of the second quarter increased 19.3%, and total backlog increased 18.2% compared to backlog at the end of the second quarter of 2010. During the quarter, our Electric Power segment generated revenues of $667 million, and revenues grew organically by 32% compared to the same period last year. We continue to see momentum build in this segment, and expect revenue growth and margin expansion throughout this year as we continue to mobilize on large transmission projects. The increase in Electric Power segment revenues was partially offset by our Natural Gas and Pipeline segment, which experienced a 20% decrease in revenues to $210 million compared to the same period last year. The revenue decline was due to continued delays in large diameter transmission pipeline work primarily related to regulatory headwinds. However, since the end of the quarter, we have been awarded approximately $150 million of transmission pipeline work, most of which is expected to generate fourth quarter revenues. We expect this momentum to build with future awards throughout the remainder of this year and 2012. While our Telecommunications segment revenues were 10% lower for this quarter versus the same period last year, we anticipate this segment's revenues will begin to accelerate during the third quarter and continue throughout this year, driven by broadband stimulus, 4G and LTE opportunities. Overall, we are seeing positive trends across all of our operating segments as we move into the third quarter despite continued regulatory and environmental delays on some projects. Looking at our operating segments in more detail. Our Electric Power segment 12-month backlog as of the end of the second quarter increased 55.6%, and total backlog increased 22.5% as compared to the second quarter of 2010. We believe this industry is in early stages of unprecedented levels of transmission investment, as utilities interconnect new renewable energy-generating facilities to the electric grid and implement grid reliability initiatives. We are seeing a number of large electric transmission projects yet to be awarded in -- for the remainder of this year and in 2012. As construction capacity within this industry tightens, we believe Quanta continues to be well positioned for these opportunities. A few of the large transmission projects that we have already been awarded have been delayed from their original start dates due to permitting challenges, mostly from heightened environmental scrutiny and generally increased levels of government oversight. We are pleased to say that several of these projects are making progress toward resolution of these issues. Specifically, for Northeast Utilities, Greater Springfield Reliability project, we have been performing overhead work in the Oakland section of this project, and have begun substation work in Connecticut. We anticipate that Northeast Utilities will receive its required environmental permits for the wetlands portion of this project by the end of the third quarter, and Quanta will move into full construction on this project shortly thereafter. This project is the first of 3 major transmission programs for Northeast Utilities portion of the New England East-West Solution, or NEEWS, project. Construction on San Diego Gas & Electric, Sunrise Powerlink project is progressing. Underhead, overhead and substation construction activities are well under way, and all of this project is now approximately 30% complete and on track to finish in the second half of 2012. We anticipate significantly increasing our workforce dedicated to this project throughout the balance of this year. Regarding our work for Southern California Edison on the Tehachapi Segment 6 and 11 project. Development of material yards, material receipt and road work in process in support of Segment 6 mobilization. We expect to fully mobilize on Segment 6 by the end of this year. Segment 11 was initially scheduled to begin construction in May of 2013, but Southern Cal Edison has released a portion Segment 11 for completion this year, with the remainder of -- remainder to begin construction as planned in 2013. The other large electric transmission projects that we have been awarded are progressing as expected. Our work for Central Maine Power's Main Reliability Program, National Grid's Rhode Island Reliability Program and Hydro One's Bruce to Milton line are all in full construction. For ITC, we are performing transmission and substation upgrades across our 4 state area. And for ATC, we are performing transmission line and substation upgrades primarily in Wisconsin. We have begun construction on the Bemidji to Grand Rapids line, part of the Group 1 portion of the CapX2020 project. Looking at our work related to the Competitive Renewable Energy Zone, or CREZ, we have begun our work for Lone Star Transmission, and we anticipate beginning additional transmission work for LCRA in the latter part of this year. In the second quarter, Sharyland Utilities awarded Quanta a contract for transmission and infrastructure services as part of the utilities CREZ initiative. The contract encompasses construction services for 3 segments of 345,000-volt lines, totaling approximately 220 miles. We expect to begin work for Sharyland at the end of the third quarter. Also, in the second quarter, Electric Transmission Texas, or ETT, awarded Quanta a master service agreement for transmission and infrastructure services associated with CREZ projects. We anticipate that our work for ETT will begin in the second quarter of 2012. Contract negotiations with BC Hydro for the Northwest Transmission Line previously awarded to us is going well and should be finished soon. We anticipate beginning construction late in the fourth quarter of this year. This project is not reflected in our backlog at June 30. Barring any unforeseen regulatory hurdles or other anticipated delays, we estimate that revenues from our Electric Power segment could grow by more than 30% for the full year of 2011 as compared to the full year of 2010. From the latter part of last year through the first half of this year, we have seen our customers increase spending on their distribution systems. We are encouraged by this increase and are cautiously optimistic, but are not yet convinced that the growth in distribution spending is sustainable. We continue to see activity opportunity for and interest in our solar engineering, procurement and construction, or EPC, offering. In the second quarter, we completed a 4.5-megawatt Denver International Airport Phase 3 project, and recently completed 3 solar projects jointly owned by Eurus Energy America and NRG Solar in Southern California totaling 46 megawatts. In late July, we received our notice to proceed and have begun construction on Lincoln Renewable Energy's 10-megawatt Oak Solar facility in New Jersey, with anticipated completion in December of this year. While EPC's solar opportunities remain robust, we're seeing some solar developers contemplate delaying project starts to take advantage of a recent rapid decline in panel prices. However, this dynamic could be mitigated somewhat by solar developers rushing to complete 5% of their solar projects before year end to give full benefits from federal investment tax credits for their projects. Despite these temporary delays, we continue to anticipate growth from solar this year. We generated approximately $106 million in renewable revenues during the first 6 months of this year, of which $90 million was related to solar and $16 million was attributable to wind power facilities. We expect spending related to wind generating facilities to decreased this year and remain challenging in 2012. Our Natural Gas and Pipeline segment 12-month and total backlog declined significantly in this year's second quarter compared to the second quarter of last year, primarily due to significantly less large transmission pipeline work. We continue to see increased regulatory and environmental scrutiny, causing delays for our customers in this segment and for certain transmission pipeline projects. On our first quarter call, we communicated that we were exclusively negotiating our shortlist and on approximately $1.8 billion of work. Although a substantial amount of this work is yet to be awarded during the last month, we have been awarded $150 million in transmission pipeline projects, with the majority of this revenue expected to be recognized in this year's fourth quarter. We expect continued momentum through the balance of this year and believe that 2012 will be an active year for our Natural Gas and Pipeline segment. To date, we have not had sufficient revenues and our pipeline transmission business to leverage cost associated with people and equipment, which has negatively impacted our margins through the first 6 months of this year. We remain bullish on the large project pipeline business given the future opportunities we see, which are being driven primarily by the development of unconventional shales and Canadian oil sands. In June, Quanta made an investment in Howard Midstream Energy Partners, LLC, or HEP, which operates midstream assets primarily in the Eagle Ford Shale. The Eagle Ford Shale is reported to have some of the best development economics of all the shale plays in the United States, and developers appear to be eager to quickly find, extract and transport product out. Due to the early stage of development of the Eagle Ford Shale, there's very little gathering or takeaway infrastructure. In fact, much of the product being produced in the Eagle Ford Shale today is being trucked out. We believe strategically partnering with HEP in the Eagle Ford will position Quanta for construction opportunities at attractive margins over time because of the need for large-scale, midstream gathering system solutions. And due to the year-round nature of the construction work, these opportunities could provide more visibility in revenue and backlog to offset some of the annual cyclicality and seasonality of the large transmission pipeline business. Another area of opportunity for Quanta in the coming years is pipeline inspection, integrity testing and rehabilitation. Like the electric grid, much of the nation's pipeline infrastructure is approaching or beyond its useful life and needs significant maintenance or replacement. We believe heightened federal standards and regulatory requirements for more frequent and invasive testing will create growth opportunities for pipeline inspection and rehabilitation services. And lastly, on the gas distribution side, we have completed the restructuring of our gas distribution operations and believe we are better positioned to successfully compete in this area. In addition, Quanta's transition to Puget Sound Energy's gas distribution system under our recent 5-year master service agreement is progressing as planned. Focusing now on our Telecommunications segment, our 12-month and total backlog for this segment increased 105% and 125% in the second quarter as compared to last year's second quarter. We continue to expect revenues for this segment to increase meaningfully through the second half of this year, driven largely by the ramp-up of broadband stimulus projects despite some regulatory hurdles. We continue to win additional broadband stimulus work in the second quarter and expect future awards through the rest throughout the rest of this year. However, we are seeing some Broadband stimulus project faced prolonged delays due to several unrelated dynamics. First, heightened bureaucracy and required environmental impact studies for broadband stimulus projects have slowed the start of some projects. For example, our work on the installation of a 1,600-mile fiber network across 39 counties in Pennsylvania for KINBER has experienced construction delays due to the environmental permitting requirements. Second, the telecommunication industry is experiencing fiber delivery challenges. The manufacturing facility of a large Japanese-based global supplier of glass fibers that are used in the assembly of fiber optic cables was damaged due the earthquakes and tsunami in Japan earlier this year. As a result, delivery time for fiber optic cable has increased from 3 to 4 weeks prior to the disaster in Japan to as much as 26 weeks today. Finally, flooding in the upper Midwest from heavy rain and melted snow from the previous winter have impacted construction start on some broadband stimulus projects in that area. We have had some notable successes for wireless in fiber to the cell site initiatives, and are continuing to see a great deal of activity in this area. For fiber to the cell site, we recently completed the installation of fiber to approximately 350 cell sites for a customer in Las Vegas. In addition, Quanta was awarded a contract for the installation of fiber for up to 300 cell sites in West Virginia, and we were also awarded projects by the same customer to install fiber to cell sites in 7 Southern states. In our Wireless business, careers continue to optimize their networks and increase cell sites density to accommodate the exponential growth of wireless data used on their 3G networks. Carriers are also in various stages of building out their wireless spectrum for the deployment of 4G services. Since 4G technology is being deployed using new spectrum, each carrier is effectively developing an entirely new national network. Thus, we believe the buildout of a national 4G network will not be a short-term phenomenon, but it could take 5 to 10 years to achieve effective nationwide 4G coverage. Related to the 3G and 4G buildout, we were recently awarded a 3-year contract from a wireless infrastructure customer primarily for new cell site construction. Revenues in our Fiber Optic Licensing segment increased 5.2% when compared to the second quarter of 2010. We are seeing solid demand for our network in the Southern California market, which is one of our newer markets, in particular from school systems and carriers. We see encouraging signs that indicate revenue growth could accelerate later this year and into 2012 in this segment. In summary, we are pleased with our results for the second quarter. We're seeing a number of large transmission projects beginning as scheduled in the third quarter, and expect them to ramp up through the fourth quarter and beyond. Though we are seeing heightened regulatory and environmental scrutiny impacting some electric transmission projects, these projects are now starting to move toward construction. While the circumstances that impact project timing are out of our control and can be frustrating, we see a significant amount of opportunity with growing infrastructure investment across the industries we serve, and believe that Quanta is in the beginning -- is beginning to enter a period that could be the most exciting time in our company's history. With that, I would like to turn the call over to James to review the details of our second quarter financial results. James?
James Haddox: Thanks, Jim, and good morning, everyone. Today, we announced revenues of $1.01 billion for the second quarter of 2011 compared to $870.5 million in the prior-year second quarter, reflecting growth of approximately 16.1% quarter-over-quarter. Net income attributable to common stock for the quarter was $31.8 million or $0.15 per diluted share. The growth in consolidated revenues in 2Q '11 was driven primarily by an increase in revenues from our Electric Power Infrastructure Services segment up 44% quarter-over-quarter. A portion of this growth resulted from an acquisition during the fourth quarter of 2010. However, excluding the acquisition, the Electric Power segment's revenues would've grown 32.1% quarter-over-quarter. This revenue increase was partially offset by a 20.3% decrease in revenues from our Natural Gas and Pipeline Infrastructure Services segment. Our consolidated gross margin declined from 17.9% in 2Q '10 to 15.2% in 2Q '11. The decrease was primarily due to the impact of lower overall revenues from natural gas transmission projects on this segment's ability to cover fixed cost and to a lesser extent, the completion of certain higher-margin electric transmission projects during the 3 months ended June 30, 2010, as compared to margins on electric transmission projects that we're in earlier stages of completion during the second quarter of 2011. Selling, general and administrative expenses increased $7.4 million to $89.5 million as compared to last year's second quarter. We completed an acquisition during the fourth quarter of 2010, which resulted in an increase in G&A expenses of approximately $3 million quarter-over-quarter. Selling, general and admin expenses also increased as a result of $1.5 million on higher salaries and benefits costs associated with additional personnel and salary increases. Selling, general and admin expenses as a percentage of revenues decreased from 9.4% in 2Q of 2010 to 8.9% in 2Q of 2011, primarily due to the increase in revenues. Our consolidated operating margin before amortization expense increased from 8.5% in 2Q '10 -- I'm sorry, decreased from 8.5% in 2Q '10 to 6.3% in 2Q '11 as a result of the gross margin effects I previously discussed. Amortization of intangible assets decreased from $9.1 million in 2Q '10 to $6.9 million in 2Q '11 due to the runoff of amortization-related backlog and other intangible assets recorded from our prior acquisitions, partially offset by an increase in amortization related to intangibles such as with the acquisition we completed in the fourth quarter of 2010. Moving further down into the details of our results by segment. The Electric Power segment revenues were up about $203.7 million quarter-over-quarter or as I previously said, about 44%. Revenues were favorably impacted by $55 million in revenues contributed by our fourth quarter 2010 acquisition. The remaining increase was due primarily to higher revenues from transmission projects and an increase in other electric power infrastructure services primarily due to increased spending by our customers. Additionally, emergency restoration revenues increased $32 million to $48.8 million in the second quarter of 2011. The operating margin in the Electric Power segment was 10.5% in the second quarter compared to 10.9% in last year's second quarter, primarily due to a more competitive pricing environment for our distribution services and higher margins associated with the closeout of certain electric transmission projects during 2010 as compared to electric transmission projects which are at earlier stages of completion in 2011 and still include contingencies. These decreases were partially offset by the impact of increased emergency restoration services which typically generate higher margins. Our Natural Gas and Pipeline segment revenues decreased quarter-over-quarter approximately 20.3% to about $209.7 million in 2Q '11, primarily due to a decrease in the number and size of natural gas transmission projects as a result of delayed spending by our customers. Operating margins in the Natural Gas and Pipeline segment was a negative 0.6% in 2Q '11 compared to a positive 9.8% in 2Q '10. This decrease is primarily due to the lower overall segment revenues described above, which negatively impacted the segment's ability to cover equipment and operating overhead cost, as well as administrative cost. Revenues from our Telecommunications segment decreased approximately $11.2 million or 9.6% to approximately $106.4 million in 2Q '11, primarily due to the impact of a long-haul fiber project completed last year and the absence of comparable work this quarter. Operating margin in the Telecommunications segment was 8.5% in 2Q '11 compared to 6.5% in 2Q '10. This increase in margin is primarily due to an increase in the proportion of telecom revenues coming from higher-margin engineering services associated with broadband stimulus work, as well as lower selling, general and admin expenses during 2Q '11 as compared to 2Q '10 that resulted from the restructuring of certain operating units, which reduced the overall amount of the fixed admin costs associated with this segment. Fiber optic Licensing segment revenues were approximately $27.8 million for the second quarter of 2011, reflecting an increase of about 5.2% from 2Q '10 as a result of an increase in spending on network construction by our customers. Operating margin in the fiber optic licensing segment was 47.5% in 2Q '11, which is lower than operating margin of 52.6% in 2Q of '10, primarily due to higher network maintenance costs being incurred during the period and higher construction revenues in 2Q '11 which bear lower margins than the fiber optic licensing portion of the segment. When discussing operating margins by segment, we do not allocate certain selling, general and admin expenses and amortization expense to our segments. Therefore, the previous discussion about operating margins by segment excludes the effect of such expenses. Corporate and unallocated costs remain relatively constant in the second quarter of 2011 as compared to 2Q of 2010. Net income attributable to common stock for the quarter was $31.8 million or $0.15 per diluted share. Net income attributable to common stock in 2Q of '10 was $33 million or $0.16 per diluted share. Adjusted diluted earnings per share, as calculated in today's press release, was $0.19 for the second quarter of 2011 as compared to adjusted diluted earnings per share of $0.22 for 2Q of '10. Cash flow used in operations less net capital expenditures of about $50.8 million resulted in approximately $5.3 million in free cash flow for the quarter. This compares to prior year's second quarter which had free cash flow of $4.4 million. EBITA for the second quarter of 2011 was $64.6 million or 6.4% of revenues compared to about $73.9 million or 8.5% of revenues for the second quarter of 2010. Adjusted EBITDA was about $97.4 million for the second quarter of 2011 compared to $106.2 million for the second quarter of 2010. Our days sales outstanding, or DSOs, were 75 days at June 30, 2011, versus 84 days at March 31 of 2011 and 79 days at June 30, 2010. The calculation of EBITA and EBITDA and adjusted EBITDA, all non-GAAP measures, and the definitions of these and DSOs can be found in the Investors & Media section of our website at www.quantaservices.com. At the end of the quarter, we had about $380.4 million in cash. We also had $187.5 million in letters of credit outstanding under our $475 million credit facility primarily to secure our insurance program, with no outstanding loans. Yesterday, we entered into an amended and restated senior secured revolving credit facility. The amendment expands our senior secured revolving credit facility to $700 million from $475 million, and extends the maturity date to August 2, 2016. Terms are generally consistent with the terms of the previous credit facility, except the costs will increase slightly as the credit markets are very different than the markets of 2007, when we last amended the credit facility. The new credit facility gives us increased flexibility to fund our current growth opportunities on both the domestic and international fronts. Considering our cash and outstanding letters of credit at June 30, this expanded facility gives us nearly $900 million in total liquidity. Also, during the quarter ended June 30, 2011, our Board of Directors authorized us to purchase up to $150 million of our outstanding common stock. We have repurchased a total of approximately 4.9 million shares in the open market, for a total cost of approximately $94.5 million. All repurchases were paid for with cash on hand. We have approximately $55 million remaining under the program, and we may opportunistically continue open-market repurchases during the rest of the year. We also made an investment in June in a midstream services company, Howard Midstream Energy Partners, which is focused on operating, developing, constructing and owning midstream energy infrastructure assets primarily within the Eagle Ford Shale play here in Texas. We acquired a minority equity ownership interest of approximately 39% in Howard for a capital contribution of $35 million. We will account for this investment using the equity method of accounting, and we will report our share of Howard's results of operations as equity and earnings of unconsolidated affiliate within other income and expense. We invested alongside Crosstech's energy services, an independent midstream services company and a customer of Quanta who made an equal investment for the same equity percentage and under the same turn terms. Concerning our outlook for the future, our estimate for 3Q '11 EPS based on revenues of between $1.16 billion to $1.3 billion is $0.21 to $0.27 per diluted share on a GAAP basis. This estimate compares to $0.30 in GAAP EPS in 3Q of '10. Our GAAP EPS forecast for 3Q '11 includes an estimate of $13 million for noncash comp expenses and amortization expenses. Excluding these expenses, our non-GAAP adjusted diluted earnings per share for the quarter is expected to be $0.25 to $0.31. We expect revenues for the fourth quarter of 2011 to range between $1.28 billion and $1.44 billion, and diluted earnings per share to be $0.38 to $0.42. We expect adjusted diluted earnings per share, a non-GAAP measure, for the fourth quarter of 2011 to be $0.42 to $0.46. This non-GAAP measure is calculated on the same basis as an historical adjusted diluted earnings per share presented in this release. Amortization of intangibles and noncash stock compensation expense are forecasted to be approximately $12 million for the fourth quarter of 2011. Our expectation of higher revenues and higher margins in the fourth quarter of 2011 is based upon the ramp-up to full staffing on several electric transmission jobs, and the natural gas transmission jobs that Jim mentioned previously being performed in the fourth quarter, thereby absorbing the segment's equipment and overhead costs. Our estimate for 2011 EPS based on revenues of between $4.3 billion and $4.6 billion is $0.65 to $0.75 per diluted share on a GAAP basis. This estimate compares to $0.72 in GAAP EPS in 2010. Our GAAP EPS forecast for 2011 includes an estimate of $50 million for noncash compensation expenses and amortization expenses. Excluding these expenses, our non-GAAP adjusted diluted earnings per share for 2011 are expected to be $0.80 to $0.90. We are currently forecasting net income attributable to non-controlling interest to be approximately $2.8 million in the third quarter of 2011 and $10.2 million for the year. This ramp-up in 2011 is due to increases in work on existing joint venture projects, as well as increased amounts associated with our contract with Central Maine Power. For additional guidance, we're currently projecting our GAAP tax rate to be approximately 39.5% to 40% for 2011. We expect our diluted share count to be about 211 million shares for the third and fourth quarters of 2011. We expect CapEx for all of 2011 to be approximately $180 million to $200 million, which includes CapEx for our Fiber Licensing segment of about $35 million. This compares to total CapEx for all of 2010 of $150 million. This concludes our formal presentation. We will now open the line for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Sanjay Shrestha from Lazard Capital Markets.
Sanjay Shrestha - Lazard Capital Markets LLC: My first question is with the changing mix of your backlog with a significant chunk of your backlog now being Electric Power, and it looks like there's a lot of transmission business. So is it fair to assume that it's not only that your backlog is up a lot on a year-over-year basis, but the inherent profit in that backlog is also significantly better compared to last year, so we should see both top line and the margin expansion going forward?
James Haddox: Yes, Sanjay, that's right. The margins in our backlog on all of the segments are very comparable or higher except on the Natural Gas segment. The Natural Gas segment, because of the revenues being down and the -- at least as of the end of June, backlog being down on Natural Gas caused lower margins on Natural Gas because of the fixed costs associated with that segment.
Sanjay Shrestha - Lazard Capital Markets LLC: Okay. Great. Then one quick follow-up for me guys. So given what's happening in the -- maybe it's better a question for Jim. Given what's happening in the solar module prices right now, are you guys starting to see some of the Asian players come to you and trying to tie up some sort of a strategic relationship because you are channeled to the U.S. market and presenting a pretty attractive pricing as well as nice margin and growth opportunity for you guys? Are you starting to see that yet?
James O'Neil: I mean, Sanjay, I think that there's just an oversupply of panels right now. And I think that the Chinese panel suppliers are motivated to move product right now. So we are having some more strategic conversations with several of those folks. But I don't think that, that's going to -- I think this is a 6-month or maybe a little bit longer phenomenon. I think prices will start coming up because we do see a significant amount of solar opportunities over the next few months and into 2012.
Operator: And our next question comes from the line of Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets Inc.: I hope that didn't count as my first question, because my first question is, if you look at 2011 guidance, you've taken your revenues up, which is very comforting, but if you look at your EPS guidance that's down a bit. Could you talk about whether that's just revenue mix versus what your initial expectations were or whether you're being more cautious around perhaps execution of pricing as we go into the second half of the year?
James Haddox: Tahira, let me -- I'll try to answer that question. A part of the increased revenue guidance resulted from the second quarter because actually exceeded the top of our revenue guidance by $35 million, and we -- but we hit the middle of the EPS guidance that we gave. And that was due to a mix issue relative to electric being higher and gas being lower and gas having higher fixed costs. The revenue -- the rest of the revenue increase is due to the improved visibility based on receiving notices to proceed and increases in backlog and based on historical trends, in other words, what we have in backlog versus what we're projecting. The rest of the EPS being lowered is due to the risk associated with timing of the startup and absorption of fixed cost on the gas side and other startup costs, and potential weather issues while we're starting projects in the fourth quarter, which can be subject to winter weather.
Tahira Afzal - KeyBanc Capital Markets Inc.: Great. That is very helpful. Second follow-up question for me, you still have a lot of pipeline opportunities, obviously, about $1.8 billion. You received $150 million in the third quarter. Could you talk about really the rest of the opportunities that $1.8 billion minus $150 million and whatever you may now have won, and really the split between perhaps Midstream, i.e. shale-oriented work versus large diameter work within that?
James O'Neil: Yes, I mean, there's going to be significant large diameter work in the Eagle Ford, and we're certainly looking at those opportunities. In regards to the $1.8 billion, the $150 million was expected in that $1.8 billion, and we're going to continue to see -- over the remainder of the year, we're confident we'll start to see some of that $1.8 billion coming out, some of these large projects coming out and moving in to construction hopefully in the fourth quarter but certainly into 2012. The third quarter is going to be a little bit pretty much like the second on the pipeline business. We're going to see strong growth depending upon whether some of these projects start in the last month the quarter or not. But certainly, there are several big pipeline projects that won't -- the $150 million, the majority of that has to be completed by the end of the year, and they're late third quarter and fourth quarter starts.
Operator: And our next question comes from the line of Jamie Cook with Crédit Suisse.
Peter Chang - Crédit Suisse AG: It's actually Peter Chang in for Jamie. First question. Last quarter, you guys were willing to put out some forecasts for the gas and telecom segment sales for the year. Are you guys sticking with the down 29% in gas with this $150 million in awards booked, mostly with this burning in Q4, and then with the 20% to 25% sales growth in the telecom segment?
James O'Neil: Peter, I'm not going to give you a number. I can tell you directionally that we're encouraged by what we're seeing in gas. I mean, we pretty much filled the uncommitted backlog for the year that we had given last quarter. And we certainly anticipate some more awards to come out this year, whether they start in the fourth quarter, which we believe some will. And certainly, there'll be projects for next year that will be announced here over the next few months and throughout the year. So it could be that gas won't be down as much as we originally anticipated or we anticipated last quarter, but we will have to see what comes out over the next few months. I don't want to get too bullish there until we have more visibility.
Peter Chang - Crédit Suisse AG: Got you. That's fair. On the pricing environment for the transmission projects, I appreciate that transmission is now a larger part of your backlog, which should drive margins, but, also, it seems like a lot of transmission projects have been awarded. You picked up a fair share. Does that mean -- is it fair to say that capacity has been taken out and you guys have been getting better pricing than maybe what you were awarded earlier this year and even last year in that segment?
James O'Neil: I think capacity is tightening, and I think on projects going forward, you will probably see some improved pricing because there's a supply and demand issue. I think we're well positioned to take advantage of projects that will be bid out going forward at the end of this year and into next year and beyond. And I think there'll be fewer people participating in that bidding process. So I think pricing should improve.
Operator: And our next question comes from the line of Will Gabrielski with Gleacher & Company.
Will Gabrielski - Gleacher & Company, Inc.: Just -- can you talk about the Howard investment, how you see that playing out and progressing, and what we should expect from that over the next year, 24 months?
James O'Neil: Certainly. We're in the very early innings, I would say, in the Eagle Ford. We've got some major E&P companies that leased up significant acreage and that have very aggressive build programs. They're looking for more solution, for somebody to come in and do a full turnkey, whether it's a build on and operator build on and transfer model. And we can play a key role in that where we can provide project management capabilities, engineering capabilities. We've got some specialized services, which we wouldn't have had that opportunity if we wouldn't have partnered with the folks that are in the HEP partnership. In the traditional model, we would've gone in and competed for construction opportunities, and we probably wouldn't have been very successful. So what we're trying to do is move up the value chain and provide solutions for these E&Ps with the right team of people in order to meet their objectives to develop that field and produce product in a very accelerated time frame.
Will Gabrielski - Gleacher & Company, Inc.: Okay. And then my follow-up, just broadly speaking on the transmission market. It's been a heck of a run over the last 3 or 4 quarters for everybody in terms of booking work. And now you're talking about execution phases, but how would you compare the next 12 months of bidding opportunities versus the last 12 months? And how should we think about that market developing from here with tighter capacity potentially as you execute more work?
James O'Neil: Well, we see a significant amount of projects coming out over the next -- the rest of this year and into next year. And it may not be the same volume that we've seen over the last 12 months, but it will certainly be close. So we're excited about it. We're positioned to capitalize on these opportunities, and we're looking forward to seeing what comes out over the next few months.
Operator: And our next question comes from the line of Dan Mannes with Avondale Partners.
Daniel Mannes - Avondale Partners, LLC: I really wanted to focus a little bit on Q4 and then the guidance you guys put out. I mean it's a huge pickup from Q3. I was wondering if you could characterize a little bit of the improvement, number one. Is it really coming from better utilization on the electric side or better margins on pipe? If you could just sort of talk -- if you could just sort of walk us through your thought process on the Q4 guidance?
James O'Neil: Well, I'll talk to you operationally about what's changing. I mean, I think we're going to mobilize probably on 4 or 5 large transmission projects at the end of the third quarter or at the beginning of the fourth quarter. So that's certainly going to help EPS. You're also mobilizing on these large pipeline projects. And if you've got about $150 million in revenue, you really going to be able to leverage those fixed costs that have been a drag on earnings in the second and third quarter. And then you've got your telecom business and renewable opportunities. Telecom continues to expand. Renewables, we're going to have some renewable work where developers are trying to get 5% of their project spent at least before the end of the year. And we see some November starts. And then we've got some significant opportunities in Canada on the pipeline work where the work has to be done during the winter weather that are presenting themselves here over the last few weeks. So with all of those activities ramping up and we're gaining momentum on all of our segments, we expect a really nice fourth quarter.
Daniel Mannes - Avondale Partners, LLC: Got it. And with the benefit of hindsight, when you look back to when your -- the guidance for the year that you gave after the Q1 call, would you say the breakdown Q4, Q3 now is similar to them? Or does it look like maybe there's a little bit more work in Q4 with your current view than maybe there was in your prior view?
James O'Neil: I'm not sure I understand the question. A little bit more what in the fourth quarter? I think we're shifting more pipeline revenues, for sure. And we expected earlier, when we gave guidance earlier this year, to have consistency of work and, certainly, mobilizing in the second quarter on pipeline, ramping up in the third, and then just ramping down in the fourth. But now, everything is getting pushed into the fourth, and so we have had some shifting of pipeline. I think we've had delays in transmission starts as well, so we have -- had a little bit of that compression into the second half of this year as well, because a lot of projects were starting in the late third quarter and early in the fourth quarter.
Operator: And our next question comes from the line of Alex Rygiel with FBR Capital Markets.
Alexander Rygiel - FBR Capital Markets & Co.: First, as it relates to the gas pipeline project that you're awarded after the quarter, that's going to hit the fourth quarter, are there any pending regulatory or permits required for that project to move forward?
James O'Neil: From what we understand, Alex, that project has received the regulatory approvals to move forward. We're in the contract negotiation phase right now, and it should move forward into construction or it will. I mean the project has to be built by the end of the year. So we expect construction start very late in the third quarter, certainly in the beginning of the fourth quarter.
Alexander Rygiel - FBR Capital Markets & Co.: And secondly, on the Howard investment, why exactly did you opt to invest in the parent company of Howard rather than own the contract or embed it into that organization and/or why didn't you try to possibly have the opportunity to be the contractor underneath that parent organization?
James O'Neil: Well, I think the balance sheet means a lot to help -- I mean we actually helped put this partnership together. I think that's important. I think we need -- they needed the capital to help grow their strategic plans. So there would be opportunities to engage these E&Ps to build their gathering systems. If we were to just go in as a traditional contractor, we would've probably competed against 5 or 6 other guys that wanted to try to do the same thing. But bringing our balance sheet forward and making an investment put us on the team and allow us to be part of that overall solution that will be provided to these E&Ps to build their gathering fields, in the pipeline infrastructure out of those fields.
Operator: And our next question comes from the line of Andrew Wittmann with Robert W. Baird & Co.
Andrew Wittmann - Robert W. Baird & Co. Incorporated: I wanted to dig a little bit more into the pipeline business, and specifically kind of get your thoughts on the overall business kind of [ph] x Keystone, obviously, that's been put out there as a potential boon for 2012. But what's that business look like on the large diameter pipeline side? Are you still bullish x Keystone? And then just as it relates to Keystone, can you just talk about your competitive positioning there? We do know that, that's a union job. Can you talk about the -- maybe the percentage of the spreads that are out there that you own, inclusive only of the union work?
James O'Neil: Yes, I mean, I don't know if -- we probably would guide 9, spreads of capacity as far as that splits up union, non-union, predominantly all union. Our spreads are predominantly all union. As a percentage of the union market, it's probably close to half of the union market. As far as the Keystone XL project, that our opportunities, all I can say is that we've been -- TransCanada has been a preferred customer of ours. We've done good work for them. We've got a good relationship with them. And we're hopeful that we'll be selected to build out part of that project going forward. That's going to be disappointing if we weren't, so -- but that's all I can really say on that right now.
Andrew Wittmann - Robert W. Baird & Co. Incorporated: Just on large diameter pipeline exclusive of Keystone, are you still feeling pretty bullish about that? We had -- Ruby went into operation, I guess, last week. There's been some people I guess talking that, that market might be weakening a little bit. It sounds like your commentary is a little bit more bullish. I just wanted to try to get a little bit better sense of your confidence in the long -- large diameter long-haul work.
James O'Neil: Yes, I mean, we are confident that there is some projects that we are exclusively negotiating on or have been through the bidding process or on that final -- in the final group, that's going to potentially be selected. Contractors still to be selected. We're seeing opportunities, and we expect there'll be more announcements between now and the end of the year. So, yes, we are bullish on the pipeline work in the second half or in the fourth quarter this year and certainly in 2012.
Operator: And our next question comes from the line of Adam Thalhimer with BB&T Capital Markets.
Adam Thalhimer - BB&T Capital Markets: You said that you're seeing some improvement in distribution demand, electric distribution, but you're not convinced it's sustainable. Why not?
James O'Neil: Well, I think it's really tied to the economy, and I don't think we've seen an economic recovery that -- and distribution is going to be tied to housing starts or an economic recovery. So we are encouraged by the signs that we're seeing today. There has been increased spending from the fourth quarter and through the first half of this year. We hope it's sustainable. But to get real sustainability, we think it's going to be tied to an overall economic recovery. And it just -- we just don't have clarity to that right now. But certainly, we hope it will continue. The trend right now looks like it's improving, but we'll have to see as we get into the end of the year whether that holds true.
Adam Thalhimer - BB&T Capital Markets: That's helpful. And then on the new wireless contract, you guys -- that was a 3-year contract for new cell site construction. What are your revenue expectations from that contract?
Kenneth Trawick: This is Ken Trawick. It's hard to predict. We've got very modest backlog associated with what our expectations are to be with a tower company that builds towers. We have to negotiate it with carriers to build towers for them, and then once they have established that relationship, we begin to get more visibility on how many towers and what areas of the country we will be able to participate in. So it's a little early to understand what the full potential of that could be.
Operator: And our next question comes from the line of Craig Irwin from Wedbush Securities.
Craig Irwin - Wedbush Securities Inc.: I was hoping for a little bit more color on the 4 projects in the first quarter. The status of any negotiations for the change orders or any update on the potential timeline for us to get visibility there.
James Haddox: Craig, this is James. We have moved through that process at about the normal pace you would expect for something like that. We have received approval of about half of the change orders. We're still working on the rest of them. It's difficult to predict how they're going to come out at this point in time, but we've been fairly successful on at least the first half level. And during the quarter, we recognized somewhere between $5 million to $7 million. It's a little difficult because a lot of it is or a portion of it is tied up in PLC accounting. So we recognized $5 million to $7 million of profit. I think at the last conference call, we said we thought we would get $8 million to $10 million this year. And it's difficult to say where we are on that. I think that's probably still a good estimate. We're just moving forward through the process and having about the success that we expected to have.
Craig Irwin - Wedbush Securities Inc.: Great. Then moving on to the renewables side. It sounds like this is a business that's really gaining momentum for you. Can you quantify for us what sort of acceleration you'll be looking at second half versus first half? $106 million, pretty strong execution there, but is this a business that could double, triple, maybe go up more than that? I mean, can you help us sort of put some basic boundaries around that?
James O'Neil: Craig, solar's been doubling for us over the last couple of years. I think that, that trend, we'll continue to see double-digit growth in solar. I think we're seeing bigger projects come out. And the risk there, again, it's when does the project go. You've got the whole environmental regulatory issue that our customers have to get through. Now we've got this panel pricing dynamic. But overall, we're seeing some big, bigger projects come out that we feel we have a -- we've got a limited notice to proceed on one that we have expected would start into full construction in August. And it doesn't look like that's going to start until potentially November of this year, but they're bigger projects. And I think you'll see that translate into backlog potentially, total backlog versus how much we do this year versus next year, because some of these bigger projects are going to take 2.5, 3 years to build. But overall, the solar environment right now is strong in the U.S., and I think that will continue at least for the next 2 years. Beyond that, we don't really have good visibility, but I'm comfortable that solar will grow over the next few years.
Operator: And our next question comes from the line of Scott Levine with JPMorgan.
Scott Levine - JP Morgan Chase & Co: Looking for a little bit more color regarding the seasonality of the business. I can appreciate that some of the large job mobilization is driving maybe a more back-ended year than is typical, but -- and maybe there isn't any such thing as a typical year anymore with large projects. But can you help give us a sense of what the -- how we should think about typical seasonality in the business. Or maybe in looking at your history, how that seasonality may have changed with the large diameter gas business that you have so we can start thinking about how to model quarters in 2012 and beyond?
James O'Neil: In the fourth quarter, weather is always your biggest risk, and especially when we have this amount of work that we intend to execute. I think one of the things that are going offset that is our continued increase in Canada, increase of opportunities and revenues in Canada. A lot of that work has to be done in the winter. So that's going offset some of the weather issues in the U.S. potentially if we don't get extremely harsh weather like we did last year, if we return to more normal weather patterns. But weather is the big risk factor when you're doing as much work in the fourth quarter. And I will just have to -- we'll just have to deal with that as it comes. I mean many of these projects are in the Northeast that we're trying to execute right now, in these large transmission projects. But a lot of it is also in South Texas, so we should have good weather conditions in the CREZ zone and on these pipeline projects that we're going to do in the Eagle Ford area.
James Haddox: To follow up on that, I think we're still going to have some seasonality involved in our business. I mean, you just can't help but have seasonality with the first quarter being the lowest quarter and the third quarter typically being the highest quarter. But I think that some of these big projects that we've been talking about. That's what's making it tough to model seasonality. I think they're going to mitigate some of the drastic difference between the first quarter and the third quarter, but you're still -- you still got to factor in a lower first quarter. And then the second quarter and fourth quarter are typically about the same. That depends on winter weather and storm work, and the third quarter still the largest. I would continue to model them in that order. But I think that the drastic difference that you see between the first quarter and third quarter is mitigated by the large projects.
Scott Levine - JP Morgan Chase & Co: [indiscernible] is different here in that regard. Final question then on cash flow deployment. You know you've got the buyback. You also expanded the buyback. Can you talk about whether your priorities have changed there at all and maybe discuss some of your current interest around M&A investment presently?
James Haddox: I don't think that you say that our priorities have really changed. I mean, we have added the stock buyback to the mix, where before it was kind of down. Now it's obviously closer to the top of the list. But I think the priorities are still working capital to fund these large projects that were being awarded and to give us a competitive advantage on some of the other large projects that are yet to be awarded followed by M&A. We're still active on the M&A front. So I think priorities are about the same.
Operator: And our next question comes from the line of Jeff Beach with Stifel, Nicolaus.
Jeffrey Beach - Stifel, Nicolaus & Co., Inc.: I'd like you to discuss the gas operations outside of Price Gregory. It's a fairly large operation. I think a lot of gathering and small diameter pipeline and other businesses. Are you targeting a lot of these shale fields? What's going on with the revenues? What's the size of the opportunity? What's the margin profile outside of Price Gregory? Can you expand on that?
James O'Neil: Jeff, we're actually in the process of setting up shops local to some of these shale fields so that we can do some of that midstream work, some of the compressor and metering stations, some of the smaller, shorter-length pipeline construction projects. So that is a huge opportunity for us. It's not just big pipe. And the pipeline integrity work is going to be huge going forward, we believe, and we're well positioned with that. We've got a very well-known company that does pipeline integrity and rehabilitation work. And we've got significant opportunities to grow that business going forward. So in our Distribution business, we're excited about our Puget contract, on this gas distribution 5-year contract that we have with Puget. We've reorganized our gas business to be more competitive. It's a very competitive market. So we have to figure out how we can compete and be profitable in that business, and we feel like we've adjusted that organization or right-sized it to where we can compete more in distribution. So I think all around, even though distribution is still off because of the economy, I think all around our gas business, we should see some improvements going forward, not only in the big pipe work, but the other areas of our gas business.
Jeffrey Beach - Stifel, Nicolaus & Co., Inc.: Can you put some -- a little bit of growth or numbers around the x Price Gregory, or give us the Price Gregory revenues in the second quarter? When I look at the level of revenues, it doesn't look like, unless Price Gregory is down almost nothing like you're seeing strong growth and acceleration in your Natural Gas business, but is this something coming ahead here over the next few quarters?
James O'Neil: Yes, I mean, as we move into 2012, we should see acceleration. I don't know if we're prepared to put growth numbers around these subsectors within the gas segment. I can tell you that Price Gregory has had very little revenues in the second quarter, and that the significant part of the revenues have been from the other part, as they have been in Canada from and from the other parts of our gas business.
Operator: Our last question comes from the line of John Rogers with D.A. Davidson & Co.
John Rogers - D.A. Davidson & Co.: A couple of things. First of all, just in terms of the projects that you're talking about on the larger transmission projects -- pipeline projects, can you talk a little bit about the pricing in terms for these projects? Is it changing at all, fixed price, unit price, especially as capacity tightens up?
James O'Neil: They are typically lump sum projects that have more risk, and we price those projects according to the risk that we're taking. Our pricing philosophy hasn't changed on our pipeline business over the past several years, and it won't change going forward.
John Rogers - D.A. Davidson & Co.: Okay. And on the transmission business?
James O'Neil: That's what I'm talking about.
John Rogers - D.A. Davidson & Co.: I mean as for the Electric Transmission business. Sorry.
James O'Neil: The Electric Transmission business, as the capacity tightens in the market, you'll probably have opportunities to move margins up slightly in that business over time. But we certainly make healthy margins there today, and our pricing philosophy there hasn't change, and it won't change going forward.
John Rogers - D.A. Davidson & Co.: And you're seeing that now in terms of the margins?
James O'Neil: Seeing what now?
John Rogers - D.A. Davidson & Co.: I'm sorry. The better pricing on the projects, on the buildup in backlog you're getting now.
James O'Neil: Yes, I mean, as we get projects going forward and the capacity is going to certainly be tightened in the industry going forward, we will see opportunities to improve pricing with some customers, yes.
Operator: And, gentlemen, there are no questions in queue at this time. Please continue.
James O'Neil: Well, I'd like to thank you for all participating in our second quarter conference call. We appreciate your questions and your ongoing interest in Quanta Services. Thank you, and this concludes our call today.
Operator: Ladies and gentlemen, this concludes the Quanta Services Second Quarter 2011 Earnings Conference Call. If you'd like to listen to a replay of today's conference, please dial 1(800)406-7325 and enter the access code of 4458904. Thank you very much for your participation. You may now disconnect.